Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Meituan Fourth Quarter and Full Year 2020 Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to Scarlett Xu, VP and Head of Capital Markets. Please go ahead.
Scarlett Xu: Thank you, operator. Good evening, and good morning, everyone. Welcome to our fourth quarter and fiscal year 2020 earnings conference call. Joining us today are Mr. Xing Wang, Chairman and CEO; and Mr. Shaohui Chen, Senior Vice President and CFO of Meituan. For today's call, management will first provide a review of our fourth quarter and fiscal year 2020 results and then conduct a Q&A session.  Before we start, we would like to remind you that our presentation contains forward-looking statements, which include a number of risks and uncertainties and may differ from actual results in the future. This presentation also contains unaudited non-IFRS fiscal -- financial measures that should be considered in addition to and not as a substitute for measures of the company's financial performance prepared in accordance with IFRS. For a detailed discussion of risk factors and non-IFRS measures, please refer to disclosure documents in IR section of our website. Now I will turn the call over to Mr. Xing Wang. Please go ahead, Xing.
Xing Wang: Thank you, Scarlett. Hello, everyone, and welcome to Meituan's Fourth Quarter and Full Year 2020 Earnings Call. For the full year of 2020, our total revenue increased by 17.7% year-over-year to CNY 114.8 billion. Adjusted EBITDA and adjusted net profit were CNY 4.7 billion and CNY 3.1 billion, respectively, in 2020. At the end of the year, annual transacting users on our platform increased to 510.6 million, while the number of annual active merchants increased to 6.8 million. The average number of transactions per transacting user increased to 28.1x in 2020 from 27.4x in 2019 despite the impact from COVID-19. Looking at -- on 2020, our most important task was helping the broader society to fight COVID-19, meeting the daily needs of consumers and help the business recovery of merchants in this very tough period. Even during the most uncertain times, we never stopped providing essential services to the greater consumer community. To ensure that our services maintained strict safety standards, we not only rolled out contactless delivery immediately at the onset of the pandemic, but also launched various stay safe -- safe stay and safe dining programs to help the industry recover. We provided our merchants with substantial financial and traffic support, enabling them to resume their businesses and improve their operational efficiency, while also working with local governments to distribute the vouchers to stimulate consumption recovery. Meanwhile, we remain committed to accelerating the digitization of the broader industry over the long term, increasing our investment in new opportunities and building new foundations for our long-term growth. During the most intense periods of the pandemic, food delivery were the many people's primary source of food and became an increasingly essential service throughout 2020. The 3 pillars of our food delivery business, namely our consumer base, merchant base and B2B network remained strong and continued to generate powerful network effects. Our solid business performance in 2020 were the testament to our resilient business model and unparalleled execution capabilities. Both demand and supply side continued to evolve into their next phase of growth. The monthly transacting users and their monthly average transactions Frequency also reached new highs in Q4, with the latter firmly above 6x per month. Our consumer base and transaction frequency growth not only reflects consumers' increasing preference for delivery and more consumption scenarios, but also allowed consumers' ongoing trust in and recognition of our food delivery services. On the merchant side, the number of annual active merchants reached 3.5 million in Q4, which represented a new quarterly record. In 2020, COVID-19 actually accelerated business digitization for more merchants and made online operation improvement more important for most of the merchants. Consequently, in 2020, the overall quality of restaurants improved, with the number of high-quality restaurants on our platform growing significantly. We believe that the acceleration of merchant digitization and the improvements of merchant operations are critically important to us as we strive to better cater to consumers' ever-increasing demand and diversified consumption needs. In terms of our delivery network, we faced an unexpected and challenging situation from the outset of the pandemic. Nevertheless, we remained committed to providing delivery riders, consumers or merchants with the appropriate solutions. During the pandemic, for example, we quickly organized various teams to ensure that our delivery network maintained sufficient capacity. Meanwhile, we rolled out our pioneered contactless delivery method and organized nucleic testing for our delivery riders to provide our delivery riders and consumers with better protection. These measures reflect our quick emergency response capabilities as well as the ability of our delivery network to handle unexpected situations. On a related note, we were pleased to see that the importance of our delivery riders continued to receive widespread recognition as one of our delivery riders were featured on the top of the Time Magazine in early 2020. Such coverage did not only show the importance of our delivery riders to society, but also their fundamental role in our daily lives. By the end of 2020, a total of 9.5 million delivery riders had earned income on the Meituan platform. Among them, around 2.3 million of our delivery riders came from impoverished counties and had therefore been effectively lifted out of poverty through their work with Meituan. The importance of delivery riders group as our business partners cannot be stressed enough. 2020 marked the seventh anniversary of our Meituan food delivery business. And in Q4, we took this opportunity to organize numerous discussion panels with our delivery riders to listen to their feedback and better understanding their needs and challenges. We also launched the Tongzhou Project, the Same Boat project, which is a product focused on delivery riders that aim to improve their job security, work experiences, career path and social well-being. As we advance into 2021, we will continue to develop this project as our delivery riders work and personal well-being remains a top priority for us. By continuously upgrading our support and services for delivery riders, we will work towards ensuring that they are satisfied with their job and work experiences. We believe that this approach will ultimately allow us to work together more seamlessly, and thus create a virtuous cycle for meeting the demands of both consumers and merchants alike. Meituan's food delivery ecosystem consists of many important players, including consumers, merchants, delivery riders and business partners. Going forward, we will continue to promote the cohesive environment for all industry participants as well as healthy industry growth. Our in-store, hotel & travel was the most impacted segment in 2020. For our in-store dining business, we further optimized our merchant base, aided our partners and organized theme-based consumption festivals around holiday seasons. For other in-store services, we effectively managed the multiple service categories that improved our multidimensional operational capability In 2020 by identifying the changes in consumer habits and future consumption trends. As a result, the year-over-year growth rate of order volumes, GTV and commission revenue from our in-store businesses, reached quarterly record highs for the past 2 years. In 2021, we hope to continue leading the industry to its next phase of recovery and growth. We plan to continue capturing consumer habit changes, capitalizing on new consumption trends, further penetrating into more lower-tier cities and upgrading our market category in-store service capabilities through product innovation. In 2020, due to the impact from COVID, domestic room nights for our hotel booking business declined year-over-year. Nonetheless, we took this opportunity to further solidify our leadership position. During the year, the pent-up demand for long-distance domestic and overseas travel continued to spill over into domestic travel and weekend trip activity. We effectively brought more off-line users onto our platform and channeled them into online hotel booking during the quarter. Meanwhile, our platform's high-star hotel supply and booking both expanded, with high-star hotel accounting for an increasing share of our total hotel supply and our number of high-star hotel room nights accounting for more than 15% of our total room nights in Q4. Our expansion of 5-star hotels was particularly successful as we became an increasing attractive channel for these hotels to grow their customer base and sales. One key initiative on this front has been the establishment of a customer service team solely dedicated to our 5-star hotel customers. In the future, we plan to continue increasing our hotel coverage and improving the quality of our supply and services in order to provide consumers with a broader selection. Now moving on to new initiatives, the third segment. Notably during the pandemic, consumers choose to buy a wider range of foods and services online, which further accelerated the digitization of the broader local retail industry. In 2020, retail was considered to have strategic importance to us and will be the key investment area. We actively allocated resources to rollout Meituan Select in Q4 and quickly expanded this community e-commerce business in 2,000 cities and counties during the quarter. As a result, Meituan Select now covers more than 90% of the cities and counties in China. While this business is still at a very early stage, we believe it can create tremendous value for consumers and upstream suppliers, including farmers. And we are very committed to continue investing in scaling up our community e-commerce business. Through our efforts to build-out our supply chain and next-day delivery capability, this business model provides broader SKU selections with much more convenient shopping experience and lower price, in turn allow us to acquire a vast new user base and less accessible and rural areas. During the quarter, through the cooperation with some local governments, we launched the Agricultural Produce Direct Sourcing, [Foreign Language], that program in some pilot areas such as Yunnan, Jilin, and Guangxi province to reduce intermediary costs, improve our supply chain efficiency, accelerate [indiscernible] infrastructure development, help farmers generate additional revenues and lower prices for consumers. Going forward, we will continue to ramp up these efforts. This will help us to increase our product selection as well as to connect consumers with farmers to better access a wider range of high value for money products. Meanwhile, we also made upfront planning and investment in logistic infrastructure, including warehousing and fulfillment during the quarter to ensure that we can handle large volumes of agricultural products smoothly and deliver them in timely, in optimal condition even to lower-tier markets. By building and innovating our platform to provide a wider range of services and goods, we want to adapt to the evolving consumer needs in different parts of our country, while continuing to expand both our operational and geographical boundaries. In this venture, our commitment to the digital development and betterment of the rural area will matter. We very much view this as our value and responsibility to help further build-out the next-generation infrastructure in less developed areas and make the e-commerce areas better for all. In 2020, Meituan Instashopping also achieved stellar growth as we continued to broaden and diversify merchant base, build-out its marketplace capabilities and convert more food delivery consumers into nonfood category consumers. Moreover, we tailored our operational strategies for different products and verticals, which proved to be quite effective in growing this business. In Q4, Meituan Instashopping daily peak orders reached around 4.5 million. For our self-operated Meituan Grocery, we remain focused on Tier 1 cities, that's Beijing, Shanghai, Guangzhou and Shenzhen, the 4 cities. Meituan Grocery is targeted at those consumers in these 4 cities, who focus more on convenience and higher qualities. Going forward, in order to improve Meituan Grocery's overall business efficiency and consumer experiences, we aim to strengthen our procurement capabilities, optimize our supply chain, increase our warehouse entity in these 4 cities. Overall, our primary business continued to post solid results in this challenging year. Many of our primary services demonstrated their unique values and have increasingly become a new infrastructure for people's daily life. We also have identified and invested in attractive new business opportunities, such as community e-commerce, that's Meituan Select, which we believe will change more people's lives for better. When analyzing new initiatives, we always take a long-term perspective. We remain committed to making investments in big opportunities that are capable of delivering long-term growth and providing all participants with more value, even though this approach will lead to a significant negative impact for our financial results in the short term. As we look at 2020, our country has successfully mitigated the radical impact of the pandemic, achieved macroeconomic growth and cultivated conducive environment for both individual and public environment. We are a beneficiary of such investments and are therefore, thankful for all the positive changes that we have experienced over the past year. Corporate social responsibility continues to be our top priority, and we are committed to building a better community and creating more values for society. As an e-commerce platform with a vast consumer base, we continue to provide better services to our consumers and help small local businesses to digitally transform their operation over the long term. In 2020, we committed to create more job opportunities and to help delivery riders grow professionally and personally, contributing to the overall national efforts on the less well-off communities. We also allocated resources to the digital development of rural areas, especially to solve their pain points around agricultural produce distribution and overall budgets. Meituan Select will upgrade the consumption experience for the rural community and gradually close out the urban-rural consumption gap as we build-out the necessary logistics infrastructure in lower-tier markets and provide these consumers with a wider range of quality goods more conveniently with value for money. We will continue to focus on ESG and proactively executed a carbon neutrality initiative. Not only do we innovate to promote sustainable packaging, we also advocate the holistic management of our bikes to provide more environmentally friendly transport solution. We will also commit to investing in future technology and driving innovation on every front to ensure our continued progress and the creation of more unique societal values. Lastly, we will abide by the proper regulatory guidelines and work with relevant authorities to promote the healthy long-term growth of the Internet platform economies, always fulfilling our mission to help people eat better and live better. With that, I will turn the call over to Shaohui for an update on our latest financial results.
Shaohui Chen: Thank you, Xing. Hello, everyone. I will now go through our fourth quarter financial results. In the fourth quarter, total revenue reached RMB 37.9 billion, up by 34. 7% year-over-year, driven by the solid revenue growth of our food delivery business, steady recovery of our in-store, hotel & travel business and the robust revenue growth of our new initiatives. Cost of revenue as a percentage of total revenue increased to 75.1% from 65.5% in the prior year period and 69.4% during the third quarter mainly due to our increased investment in new initiatives and especially due to the rapid expansion of our retail business, which are still at an early stage. Meanwhile, selling and marketing expenses as a percentage of total revenue increased to 20.2% from 19% in the prior year period and 15.5% in the third quarter. This increase was primarily due to the higher spending for transacting user incentives, online and offline promotional activities and advertisement. R&D expenses as a percentage of total revenue was 8.6%, increasing from 8% in the prior year period and 8.4% in the third quarter.  This increase was mainly driven by the increase in our R&D head count, which resulted from the expansion of new business, higher average salary and share-based compensation. G&A expenses as a percentage of total revenue was 5.1% in this quarter, which represented a year-over-year increase of 0.7 percentage points and quarter-on-quarter increase of 1.1 percentage points, respectively. The increase was due to increased employee benefit expenses, recruitment expenses and other proficiencies, which was in line with our business expansion.  Our food delivery and in-store, hotel & travel segment continued to demonstrate healthy growth and positive financial results. The 2 segments combined achieved an aggregate operating profit of RMB 3.7 billion, increasing from RMB 2.8 billion in the corresponding period of 2019 and RMB 3.6 billion last quarter. However, we recorded a total operating loss of RMB 2.9 billion this quarter due to our significant increase in new business, especially for our retail and ridesharing business and also due to our increased R&D spending for advanced technologies. On a consolidated basis, adjusted EBITDA and adjusted net profit also came to negative RMB 589 million and RMB 1.4 billion, respectively. Now moving to our segment reporting. Starting with food delivery. At year-end, our annual transacting users increased to 388 million with healthy order growth in both lower-tier cities and high-tier cities. During this quarter, we continued to implement an effective food delivery membership program, refined our consumer marketing efficiency and augment the variety and quality of our food delivery supply. Such efforts helped to grow our monthly transacting users and bring their monthly average transaction frequency to the new highs. Our membership program continued to ramp up the transaction frequency of high-potential consumers, while our monthly average membership subscribers more than doubled year over year. As a result, our growth rate for the number of food delivery transactions continued to surge on a year-over-year basis, with the average number of daily delivery transactions increasing by 33% year-over-year to 36.2 million transactions in the period. Consumption scenarios, including breakfast, afternoon tea and nighttime snack, continued to grow at faster pace than lunch and dinner scenarios in Q4. Orders from more than 3 kilometers away also accounted for an even larger share of total delivery orders at around 20%. Meanwhile, [indiscernible] orders with lower ticket sizes fully resumed during the quarter, which led to a further decline in our average value per order on a sequential basis. Nevertheless, our average value per order continued to grow on a year-over-year basis. Also delivery GTV growth accelerated to 39. 4% year-over-year, demonstrating the strong recovery of our food delivery business. Meanwhile, we continue to see an increasing willingness by food delivery merchants to acquire online traffic this quarter. Notably, our efforts to further refine our online marketing solutions continued to accelerate food delivery segment's adoption of our online marketing services, with our advertising merchant base growing by 50% year-over-year.  Our monetization rate decreased by 0.2 percentage points year-over-year to 13.8% in the period, which was mainly due to our increased spending on user incentives, especially during our membership program to accelerate our order volume growth. As a result, our food delivery revenue growth accelerated to 37% year-over-year in the fourth quarter. Going forward, we remain committed to upgrading our product experience and diversifying our consumption scenarios and supplies in order to bring our food delivery frequency to the next level. Our confidence on the long-term food delivery volume remains unchanged. In terms of costs, the gains on our efforts to improve our delivery network efficiency and optimize our delivery network operations were once again essentially offset by the impact of VAT exemption granted to our delivery partners, which is continuing to pressure our delivery cost per order in this quarter. As such, our delivery cost per order continued to increase on both year-over-year and quarter-over-quarter basis. Similarly -- similar to the previous quarter, the sequential increase was due to seasonality as well as the temporary incentives which we pay out to delivery riders for working under extreme weather conditions. However, our increasing business scale and higher average value per order allow us to improve our food delivery business operating profit and operating profit margin on a year-over-year basis to RMB 882.4 million and 4.1%, respectively. The sequential improvement in operating margin was mainly due to our improved monetization rate as a result of the change in our order mix. Our confidence on the long-term margin of food delivery remains unchanged. Now turning to our second segment, in-store, hotel & travel, in which the segment's year-over-year revenue growth rate improved to positive 12.2% during this quarter. Our in-store business also continued to gradually ramp up despite COVID-19 in Dalian, Beijing and other cities in the fourth quarter. We continue to observe strong demand for online consumption in such industry as leisure and entertainment, beauty and medical aesthetics and more. Our medical aesthetics sales grew by more than 70% year-over-year in Q4 as we further standardized product offerings and authenticate reviews on our platform. We've seen consumption -- confidence in our services. Some new category have proven to be quite popular such as auto-related services and escape rooms, both of which achieved relatively high year-over-year growth in the quarter and outpaced their prepandemic growth. For in-store dining, we also introduced more options for quality light meal restaurants to our platform. For top national and local chain restaurants, which are strategically important, we have designed innovative transaction-based products and supported their unique advertising needs. In 2020, the number of these types of restaurants significantly increased through our ecosystem, with their sales also growing considerably as a result of our tailored services. By optimizing the operation system, we further leverage the merchant base of our food delivery business to expand our in-store dining merchant base. As a result, more high-potential restaurants have adopted our in-store marketing products and our platform captured more cross-selling opportunities. The various holiday promotional campaigns further stimulate consumers' in-store consumption. During the Christmas and New Year holidays in Q4, dining out became significantly more common with number of transactions reaching new highs and increasing more than 65% year-over-year during the holiday period. Our refined merchant operation also continued to promote the ongoing expansion of our local service merchant base with the number of our quarterly local service merchants increasing about 16% year-over-year. As a result, in-store segment's commission revenue continued to ramp up during the quarter, up by 11.8% year-over-year. For online marketing services, we continue to see a steady recovery trend in merchant spending levels for online marketing activities, especially during the holiday season. Notably, merchant adoption rates for CPC advertising products and subscription-based services, which yield higher user transaction conversion, continuing to increase on a sequential basis. The gradual resumption in marketing demand from local merchants helped the segment's online marketing revenue to achieve 13% year-over-year growth. With respect to our hotel business, despite the COVID-19 in several cities, entering the recovery of consumption. Consumer demand for hotel booking services in most other cities continues to be unleashed during the quarter. More importantly, demand for local accommodation and intercity travel both maintained their steady growth momentum. Meanwhile, our efforts to acquire more offline consumers and strengthen our collaborations with more high-star hotels, particularly 5-star hotels, help us to further solidify our leading position in hotel booking business. As a result, the domestic room nights consumed on our platform increased by 8.8% year-over-year in the fourth quarter, with year-over-year revenue growth also turning to positive. More notably, among total domestic room nights consumed on our platform in this quarter, the number of room nights from 5-star hotels increased by more than 110% year-over-year. Operating profit for our in-store, hotel & travel business was RMB 2. 8 billion, remaining stable on quarter-over-quarter basis and increasing by 21% from the same period of last year. Operating margin increased by 2.8 percentage points year-over-year to 39.5%, mainly due to the improved marketing and online traffic acquisition efficiency and partially offset by the increased offline promotion expenses. The sequential decline in segment operating margin was primarily due to the increased spending on promotion and advertising, partially offset by the improved operating efficiency. Now let's turn to our third segment, new initiatives and others. During this period, revenue in this segment increased to RMB 9.2 billion, representing an increase of 51.9% year-over-year. Such growth was mainly due to the increase in revenue from our retail business, B2B food distribution services and the ridesharing services as we further accelerating our business expansion efforts to better satisfy consumers' growing needs. As Xing mentioned, we have been very focused in developing our Meituan Select as one of our retail business. At the same time, for Meituan Instashopping, we have been working -- focused on high-potential verticals, bringing more quality suppliers and merchants online. For electronics products, we work with Apple and Huawei franchises to deliver their new flagship products to individuals in around 30 minutes. Meanwhile, the vertical for main supermarkets and convenience stores grew by more than 80% year-over-year. Online delivery services for medicine reached daily peak order volume of 500,000 in Q4 and the flower orders also grew by more than 160% year-over-year in Q4. For Meituan Grocery, in Q4, we increased the number of warehouses to over 300, continuing to strengthen our competitive advantage in these 4 key cities. Operating loss for our new initiatives and other segment increased significantly on both year-over-year and quarter-over-quarter basis to negative RMB 6 billion in this quarter.  Our retail business, especially our community e-commerce business, was our largest investment area. It's worth noting that while our community e-commerce business is still in the early stage of development and expanding rapidly, it has not yet achieved economy of scale. In addition, while we continue to make substantial up ground planning and investment in warehousing and fulfillment infrastructure during this quarter, we're also continuing to cultivate consumer habits and expand our group leader base through incentives. This investment led to a noticeable increase in losses for our community e-commerce business during this quarter. For our ridesharing business, the average turnover rate for bikes and electronic mopeds were lower as a result of seasonality, while depreciation expenses increased significantly due to the launch of new bikes and electronic mopeds. This led to a significant increase in operating losses for our ridesharing business on both year-over-year and quarter-over-quarter basis. In addition, we also increased our R&D spending for advanced technologies such as autonomous vehicles, [indiscernible], which caused our operating loss to expand on a year-over-year basis. However, we take the long-term perspective with investing in new initiatives, and we are always patient to allow our business to grow and bear fruit. Now turning to our cash position. As of December 31, 2020, our cash, cash equivalents and short-term investments totaled RMB 61.1 billion and our operating cash flow increased to RMB 8.5 billion in 2020 from RMB 5.6 billion in 2019. In conclusion, both our food delivery and in-store, hotel & travel segment continued to deliver solid results in this quarter. As China's economy continues to recover, we remain focused on adapting our services to ensure that consumers' needs were met and merchants were able to further digitize and optimize their operations through the services and solutions that we offer. We maintain our belief that our primary business has a significant runway for future growth and operational optimization over the long run. While our significant investment in these new initiatives will continue to hamper our overall profitability in the near term, these new initiatives are also creating increasing value for consumers, merchants, our business partners and the broader society. We remain committed to making investments in big opportunities that are capable of delivering long-term growth as well as providing consumers and all participants with more value. We believe that community e-commerce is one of these big opportunities, and we will allocate sufficient resources to accelerate its development in 2021, while continuously improving its operating efficiency. Our decision to increase investment in new initiatives may continue to cause significant negative impacts on our overall financial results, and we may continue to record operating losses in the next few quarters as we ramp up our community commerce business. Nevertheless, this remains consistent with our investment philosophy of prioritizing long-term value over short-term gains.  With that, we are now open for Q&A.
Operator: [Operator Instructions] The first question comes from the line of Eddie Leung of Bank of America Merrill Lynch.
Eddie Leung: Just 2 questions. The first one is about the losses and the investment in new initiatives. Just would you provide a bit more color on the spending, any breakdown or the upcoming outlook? And then secondly, we also understand that in the new initiatives and other business, you guys have to work with a lot of small- and medium-sized enterprises and merchants. So just wondering, if you could also talk a little bit on the regulation risk on working with SMEs and any risk to the business model, such as like commission rates, et cetera?
Xing Wang: Okay. Thank you, Eddie. So to answer your first question, in Q4, operating loss for our new initiatives was about CNY 6 billion, and half of which came from Meituan Select. And other new initiatives such as ridesharing, Meituan Grocery and probably, the B2B food distribution also expanded the operating losses. And as you mentioned, Meituan Select is still -- well, it's still at the very early stage. And we are expanding the business very quickly. It would take upfront investments. And operating losses from this business also further increased as a result of rapid growth because we scale our business nationwide in a very short time. But I'm quite happy about the fast expansion of our business in Q4. So retail business is a testament to our mission to help people eat better, live better. And we all know it's huge business with a very, very big total addressable market and huge potential to further digitize due to the whole value chain. And I think there's no single format of retailing that will shoot all consumers' all needs. So we will continue to explore multiple formats in retailing. And -- so different business model for different demographic and also maybe for different cities -- different tier of cities because people just have different needs. So we expect to continue investing in all 3 formats for our retailing business as Meituan Select for lower tier cities and that's the top priority. At the same time, we are also building our Meituan Grocery, and that's the on-demand grocery as we self-operate it. Apparently, it also incurs large operating loss. We are limiting the Meituan Grocery to 4 Tier 1 cities at this moment. And the third one is Meituan Instashopping. Because we have the largest on-demand delivery network, we can deliver food very quickly in around 30 minutes. We can also deliver other nonfood items. So there, I think people are getting more and more used to order everything from Meituan. So we are very optimistic about the future of Meituan Instashopping. So in general, retailing will be the key of our investment in Meituan and it will take a lot of investment. We believe this business has tremendous values. And we have, I would say, even stronger commission now than 1 year ago. So let's make it very clear, we are going to keep investing into this. I believe Meituan Select, that's the community e-commerce, is probably the best opportunity -- well, once 5 year or once every 10 years. So it's not common to get opportunity to build a new infrastructure for e-commerce. If you look at the history of e-commerce in China, like Taobao and JD, you'll agree it will take a lot of investment to do the new infrastructure. Once you lay out the infrastructure, you have access to a much bigger user base and the untapped markets. And with the new infrastructure, we will have the opportunity to review the whole value chain. So it will take huge -- will create huge value, not just business value, but also the fair value for the whole society. So we are very committed to this. And other than retailing, there are also some other initiatives that are also important to us because we think of retailing as a more broader way as we've been meeting the needs of the end consumers by providing either services or goods. So for us, the ridesharing or the B2B food distribution services are also new initiatives that we are going to keep investing in. And ridesharing, so much big operating loss in Q4 mainly due to the seasonality and because we proactively launched new bikes, electric mopeds since the beginning of the year. And operational efficiency and turnover rates were lower during the winter, I think that's expected. And intensive launch of new bikes and new electric mopeds and depreciation also significantly increased in Q4. And ridesharing was the main -- major areas of CapEx for us and it's still loss-making. But I think we are going to keep using it, given its long-term strategic values. And other businesses such as Kuailv, the B2B food distribution business, also expanded in both scale and scale of sales, also operating losses in Q4. Kuailv not only achieved good year-over-year growth on both gross transaction volume and the number of active merchants in Q4, and we also continued to increase our market share. I think we are closing the gap between Kuailv and the number one player in the market. And at the same time, we were improving unit economics. So I think it's on a good trend. In 2021, we will likely increase -- further increase investment in Kuailv to explore more potential in this very important, very fragmented markets. We aim to find more opportunity to better help more suppliers to digitize their operations to better serve more restaurant merchants. We already have millions of restaurants on our platform. We help them to attract online traffic. We help them to secure online delivery orders. We provide -- we are providing them with better cloud SaaS solution and we also want to do food distribution for them. So I think that's an important part of our total solution for restaurants. And overall, we expect to further increase our investments into, well, certain new business in 2021. And that might lead to material negative impact on our overall profitability in the short term. So I think -- I hope you are not surprised that we are going to keep investing in this because I believe we are looking at very, very good opportunities. In the past, we have always been accessing new business opportunities from a very long-term perspective and invest based on our -- the long-term ROI assessment. So right now, I think with Meituan Select, we are looking at a very good -- very big opportunity. So we will try our best to capture the opportunity. So we remain committed. At the same time, we are flexible in our investment base, and we'll closely monitor key metric for each business line and assess our progress continuously. So that's my answer about loss-making and new initiatives. And on your second question, so I think we are -- we have more than 6 million merchants on our platform and the vast majority of which -- of whom are small and medium enterprises, SMEs. So I think we have been generating business for them and also -- okay, let me put it this way. So we know -- while we want to provide value for them, it's also a sensitive topic for us to monetize through our operation. So we have been very careful with this. In the past, we keep our overall take rate at a reasonable level and we avoided big margin. We didn't try to get a monopoly position through big M&A deals. So we got our position from organic growth. And also, we are -- right now, we are -- for our biggest segment as food delivery, we are going to -- there could be some modification to how we charge the merchants because actually, we are providing 2 parts -- 2 kind of services. One is the transaction service on our platform and the other is the actual physical on-demand delivery. So in the past, because we planned these 2 services, so some people misunderstand the overall take rate. I think that take rate is high -- is quite high compared to other e-commerce pure marketplace like Taobao. And that's an unfair comparison because we are providing merchants a market-based transaction service. Also, we are fulfilling the actual physical delivery. So we are going to make these 2 parts easier to understand. So I hope people can -- both the merchants and also the regulatory authority will understand the mechanism better. So I think that will create a better environment for us. And also, we expand our Meituan Select business, we are very closely watching the UE, so we don't want to step on any rules set up by the government. So for example, we are not -- we already have positive gross margin for other goods, so we are not earning money with a negative gross margin. So the margin -- the gross margin is positive. We are still making a loss because of the investment into the infrastructure. So I think that's very clear. We spend money to build the infrastructure. That's one thing. If you spend money to buy high-end value chain to cutoff other SME, that's different. So overall, I think that we want to -- I think that we will embrace the -- we'll play by the rules. We will do our best to be a good corporate citizen. So that's it.
Shaohui Chen: Maybe I can add a few more points on your second question. As Xing mentioned, we have 6.8 million active merchants in 2020. Majority of those are very small merchants. Actually, they are very small. We call macro merchants, [Foreign Language]. Those are really the business contributors for local economy and also the real business contributors to our platform.  So we have been valuing them and treating as our business partners rather than the merchant that help monetize our platform. In our internal KPI for food delivery business, I think we always prioritize the digitization as our business -- probably, the percentage of total industry as the most important KPI rather than the monetization rate. If you look at our monetization rate for food delivery in the past 8 quarters, it has been actually relatively stable -- actually slightly decreased this quarter. And we have been -- grow our business by operating efficiency rather than increasing our commission rate to merchants. Actually, we hope we can gradually reduce the charge, leverage operating efficiency. That will continue to be our strategy going forward. Also, for our in-store business, we have been providing more operating -- digitization tools to merchants rather than commission-based charge -- commission-based transaction product to the merchant. So I think we have been very cautious in this topic, and we will remain -- stick to our belief that bigger scale means bigger responsibility for a company like us.
Operator: Your next question comes from the line of Alex Yao from JPMorgan.
Alex Yao: Thank you, Xing, for the comprehensive discussion on your new initiative investment strategy. I have a couple of questions on Meituan Select, in particular. So given the large investment in Meituan Select in Q4 and also the further investment going forward, can you please elaborate a bit more around the progress for Meituan Select so far and the strategy into 2021? How are you thinking about investment and how do you measure the ROI? Lastly, what are the key metrics to assess the success of this new business?
Xing Wang: Okay. Thank you, Alex. That's a lot of questions. So before getting into Meituan Select, I want to further talk about how we are thinking about retailing. So Meituan is an 11-year-old company. So from the very beginning, we were building an e-commerce platform to satisfy the daily needs of consumers. In the beginning, we are providing the -- I would say, that's the retailing of services. That's how we help the local movie theaters, hotels or classrooms. I think that's -- I can say that that's the retailing of the services. And later, we got into Meituan food delivery. That's a service, and that's retailing of goods because you actually buy the food. So I would say, we were in the retailing business from day 1. We were expanding from the service -- retailing of services to the retailing of goods. And for the retailing of goods, we started with a special category, and that's restaurant food delivery. So I think that's a very special category for retailing because it requires on-demand delivery. So that's the first -- the core category for us, and that's the foundation of our whole platform in the past. And so from that foundation, we decided to explore more categories and -- which -- we want to explore [indiscernible] category boundaries and also the geographic boundaries. So we want to provide more goods and services to our consumers going forward. Well, previously, our total addressable market relating to catering or food consumption ranges from about RMB 4 trillion to RMB 10 trillion in China. For the broader consumer retailing market in China, it's around CNY 40 trillion with still quite low online penetration. I think that's the market we are going to get into. So specifically, I think Meituan Select is a very big opportunity for us and is a new efficient way to get access to several 100 million -- hundreds of millions of new users. So we are committed to become a leading player in this community e-commerce business because the community e-commerce business requires a new logistic infrastructure. With this new infrastructure, it will have access to the last -- I would say, the last 300 million or 400 million Internet users -- e-commerce users. So Meituan Select has the potential to efficiently penetrate into the very lower-tier cities. Here, we are not talking about Tier 2 or Tier 3 cities. We are talking about towns or even villages in some places, including all the rural areas. In the past, the e-commerce -- different models of e-commerce and existing infrastructure were not able to serve the needs of those rural areas, until we have the community e-commerce. So this new model will effectively acquire more users on our platform and lower the cost across the value chain and expand our business to broader retailing of goods. So in future, we will expand the current online retailing from mainly fresh produce and daily necessities to include more FMCGs and other products. So we hope that the rural areas and other markets will have better access to such services and goods through our platform. And I think it's fully aligned with our mission to help people eat better and live better. So -- well, I think it's very -- this opportunity is very exciting, but it's also very costly. It has only been a few months since we launched Meituan Select. It was launched in July last year, so Q4 was the second quarter. And the whole market is still in a very early stage, and it's moving very fast, and it's growing very fast. I would say we have achieved good progress in some aspects. For example, in the beginning, geographic coverage was a priority when we started. In Q4, we successfully expanded Meituan Select to cover 27 provinces, more than 2,000 cities and counties. So covering more than 90% of cities and counties nationwide. Both the number of orders and transacting users grew rapidly in Q4 as a result. And our daily -- average daily items sold exceeded 20 million in the second half of December and reached a peak of close to 30 million pieces. In addition to the geographic coverage, we invested in building our infrastructure on warehousing and procurement as another focus. But we saw very strong momentum in our business with monthly sales growing by around -- more than 100% in December compared to November because the whole market is just exploding and more group leaders choose to work with us because we can provide a good experience on the goods and also the procurement, in turn attracting an ever-larger groups of consumers into our platform.  So this new business especially help us attract consumers in lower-tier cities and also the older generation of Internet users. So we expect to further grow our transacting user base in the next few quarters. Right now, we have around a little more than 500 million. And I think there are 300 million to 400 million users to acquire in the next few quarters. So we have observed many new consumers for Meituan Select. And they are continuing to spend more time on our platform and ordering more frequently and ordering higher ticket size for each purchase as they grow more and more trust and confidence in our services. So momentum continues to be healthy during the first quarter this year, and we will continue to expand our operation over the next few quarters. We will always make investment from a very long-term perspective rather than paying too much attention to short-term metrics. So as just mentioned, we will continue to invest into building our warehousing and fulfillment infrastructure, and we will also invest into logistics technologies system. This will form the foundation for us to operate more efficiently and deliver consistent user experience in the long term, which we believe will be our competitive advantage. Because that's a very high-frequency category, you can spend money to acquire user. By disappointing them, you will lose them. So we will need to build the infrastructure, we will need to invest in the infrastructure and we need to build our capability to make sure they are happy with us, and then they will come back. And also to make our consumers happy for the supply chain. We focus on building and maintaining good relationships with key suppliers and gradually increasing the efficiency of sourcing. So here, I would admit because we were not in -- a very big player in the general e-commerce, so that's -- supply chain is something we need to catch up with other players. We will also continue to refine our product offerings and to optimize the SKU selections, its own -- well, the ever-changing consumer demand and also the seasonality. Because this is our first year in this business, we are not so sure about the seasonality yet, but we will try our best. And also our ability to select negative products will improve over the next few quarters. Overall, we believe it's very important to build comprehensive capability for community e-commerce. You need to be able to acquire users. You need to be able to deliver timely. You need to be able to source the best supplies and the best money for value. So it's -- it would take a very comprehensive capability to win this market. So it's crucial for us to further build our warehousing, fulfillment infrastructure and enhance our supply chain capability and also optimize the online operation. So leveraging our already quite strong offline operation capability, we believe we will have, well, better operational efficiency with leading business scales in the long term. At this moment, I think the improvement on some metrics such as revenue per item, sales volume per day, retention rate and consumer purchase frequency will justify the value of our investment. Finally, I would like to stress again that we always strive to strengthen our relationship with different business partners across the e-commerce -- community e-commerce value chain, including those millions of group leaders, most of which are essentially SME, local mom-and-pop shops. And we also care a lot about our warehousing and fulfillment suppliers and also the upstream product suppliers and farmers. We want to make sure that this business creates a win-win opportunity for all their participants in the ecosystem in the long term. And we will continue to prioritize our resources and invest very actively in Meituan Select. And also, more importantly, on social responsibility, we want to help build the logistics infrastructure and digitize the purchase and distribution process to deliver higher-quality goods to people in lower-tier cities and also the rural areas at more affordable prices. So we believe that it will bring us long-term rewards and also create a lot more value for the society at large. So yes, I want to stress again, and we are -- this opportunity is very exciting. It's also very costly. So I think we are going to do our best to capture this opportunity and to build a very good business for -- well, I think, for everyone. We need to be patient.
Operator: Our next question comes from the line of Thomas Chong from Jefferies.
Thomas Chong: I understand that the new users for Meituan Select mainly coming from the lower-tier cities and may not necessarily require food delivery for using our other existing services. So what's our thoughts around the synergies between Meituan Select and the whole platform? In the future, should we expect Meituan Select as more of an independent, profitable business or the one that bring you traffic and strategic value?  Where do you see the [indiscernible] improvement coming from? And also, do we have a timetable on breakeven? With the tremendous resources allocated to Meituan Select, would you limit the investment into other new initiatives? How should we think about your overall profitability in the next 1 to 2 years?
Shaohui Chen: Yes. Thank you, Thomas, for your question. Well, I think there are potentially many different aspects of synergy through the community e-commerce. I think the first and most important is it will help us effectively penetrate into lower-tier cities and acquire a massive number of new consumers who were not our existing users. We believe in the long run, they have the potential to use other services on our platform besides the physical e-commerce that we will be providing to them. And this will significantly strengthen the power of our platform. I think food delivery still could have potential to further penetrate into lower-tier cities, but I think it require better offering, better infrastructure. And besides the delivery, I think cross-selling opportunity are still massive with our other businesses, such as in-store services, hotel booking, broader retail or ridesharing business. It takes time for each consumer to really crossing using different categories, but we have seen very clear [indiscernible] in our last 10 years consumer behavior. The longer they stay with us, the more category they will be purchasing. This is in line with our food platform strategy. The community e-commerce model right now is still at very early stage, and we expect it to evolve quickly. So the model right now, I think, may not be the final business model that it evolve to be. But -- no matter what exactly this model we or the industry may take, we are very confident this will be a stand-alone profitable business after reaching a certain scale and improving the efficiency in the whole value chain. The profitability will be improved through several areas. First, price and revenue per item were extremely low right now. We have seen this steadily increase during Q4 and Q1 so far, and we expect it to continue increasing in the next several years as we normalize the item price and optimize our product mix. We also expand the product offerings from fresh food to -- including a wider range of other packaged food and other nonfood items with higher prices and margins. This will be one of the key drivers to improve UE in the near term. On the cost of goods side, we're increasingly sourcing from farmers and other upstream goods suppliers, which help cut the intermediary cost in the supply chain. Second, we think there is flexibility on commission rates offered to group leaders as we increase business scale and improve operational efficiency for group leaders. We're also seeing the warehousing and fulfillment cost item have room to go down from economy of scale and operating efficiency. As we increase our GMV and revenue, we would like to achieve better efficiency with economy of scale. And third, our business development and marketing and the headquarter expenses items also have big room to go down quickly due to operating leverage. However, to your question, there is no timetable as to when exactly this will breakeven. As we mentioned, we think this is an important new infrastructure to digitize the local retailers, particularly in lower-tier cities and short-term profitability is not a top objective for us right now. With the large investment into the retail business, including Meituan Select, we expect to materially step up our investment into our new business and new initiatives in 2021. And this may bring short-term volatility on our overall profitability. We will carefully monitor these new opportunities and careful -- allocate our resources, and we will keep you updated.
Operator: Your next question comes from the line of Ronald Keung from Goldman Sachs.
Ronald Keung: This quarter, I want to ask on in-store, and this is a very profitable business for us. And we see kind of margins fell sequentially and talked about some investments into coupons, into advertising. Just want to know how do we think about this in-store, very profitable segment for us for 2021? And in particular, as we see some newer entrants, including potential competition from short-form video players with Douyin offering more local services and entry points, how do we see this competition and the implication to our targets for 2021 and our profitability for this segment?
Shaohui Chen: Yes. Ronald, the short answer for you is we are very positive for our in-store business in both 2021 and in the long term. As you have been monitoring, the operating profit for our second segment continue to achieve steady growth. And also the operating margin has been relatively stable and slightly increased, mainly due to improving efficiency and increasing scale. I think this is a result of a broader [indiscernible] of the local merchants embracing online platform and increasing this transition. We have seen revenue contribution from higher-margin in-store dining and our lifestyle business also increased year-over-year. The trend of the in-store business in the past few quarters, we expect to continue to improve. There are some slightly changes in March in the overall segment margin. That's mainly due to the -- our investment into hotel and travel space and also due to the mix change as hotel and travel contribute a large share of in-store revenue. And we think under COVID-19, we focused on more revenue from transaction-based products to provide deeper value to both consumer and merchants. So in the near term, advertising revenue as a percentage of total revenue decreased as this transaction volume growth provide a stronger base for our future merchant activities and future revenue growth. We also continue to expand our marketing and sales to develop our new service category with high potential as we think that new generation, they're actually are embracing more and more new local lifestyle services.  And some of these categories are growing very fast and it will also be our future growth driver. So for margin profile, in summary, we do not expect -- you see that Q3 2020 has achieved very high margin. We think that we probably will see the margin slightly decrease due to the revenue mix change. But overall, we think the profitability for this segment in 2021 and going forward should be relatively stable. We will also further diversify and grow our transaction-based products for local services and provide more value to consumers, which will hopefully increasing more engagement with consumers. And in the long run, there's more flexibility on monetization for in-store services as we improve our multiple transaction-based product and capabilities and provide more advertising solutions for different types of merchants across different categories. For your questions on the potential competition from other traffic platforms such as short-form video platform, actually, I think, overall, this is within our expectation because, as I mentioned, this is under a mobile trend that the local merchants are embracing online platforms. And it's natural that they go to try different platforms, and they all will be spending in different traffic platforms. Actually, we view this as a positive sign for the industry overall. This means that this digitization is the trend that all these local merchants will embrace and this will actually help educate these local merchants to have them more sophisticated and use online platforms and can understand more value provided by integrated solution provider like us because we as a digital partner compared to the purely traffic platform, I think we are a more integrated service provider for these local merchants.  We are also very confident about our strong brand awareness, [indiscernible] share of consumers as the go-to platform for in-store services, providing a large number of consumers with a wide range of high-quality services and massive collections and more affordable prices will continue to be our focus. And we will continuously enhance our location-based recommendation algorithm, diversify our product and service offerings and provide users better user experience. For our merchants, we will continue to create more tailored and integrated products to help them. As we deepen our relations with these high-quality and local trade merchants and city level, while penetrating deeper into more lower-tier city markets, we will continue to maintain our advantage on the supply side. So our unique and comprehensive content ecosystem also enable us not only to help merchants make decisions, but also to create a deeply engaged experience for our merchants. And going forward, we will definitely try new forms to further enhance our content ecosystem. And also, we believe we will continue to benefit from this trend of online penetration and to continue to benefit from this very big market with huge potential.
Operator: Your next question comes from the line of [indiscernible].
Unidentified Analyst: Just few questions regarding our food delivery business. Looks like growth of food delivery business was significantly ahead of our competitors. Did we further increase our market share? And given the current environment, what's our expectations on order growth, [indiscernible] ratio and improvement in 2021? And finally, there is a lot of focus on the antimonopoly regulation development. Will this impacts our competitive advantage in future?
Xing Wang: Thank you for your question. Yes, for -- during Q4 and actually during the whole year of 2020, we further solidified our leading position in food delivery. We have achieved healthy order volume growth with accelerating revenue growth on the back of higher margin efficiency and wider and better food delivery supplies on our platform. User metrics has been also performing very well. Monthly transacting users reached a new high and monthly average transaction frequency of our monthly transacting users also achieved a record of more than 6 orders in Q4. As you mentioned, we have been very carefully studying the antimonopoly regulation and strictly follow the rules by the regulator. We believe we can maintain our competitive advantages of food delivery business despite the new regulation environment, especially on the merchant side. We respect our merchants' independent choices and aim to create more values for them. We have a strong advantage in terms of scale and quality of user base in most cities and counties. We bring more traffic and growth opportunity to our merchants. We have by far the largest delivery network and a very efficient operation, guaranteeing optimal delivery service quality for merchants. Basically, we charge lower, but we can deliver faster and in a more stable time. Also, our deep industry insights also allow us to provide merchants with expanded product and customer solutions. We have also more integrated services besides the food delivery for restaurants. Our on-ground business development teams across the country has also been proven to be a unique advantage in terms of really understanding the merchants' needs and provide comprehensive guidance and services to them. So in summary, we win our merchants with our service quality. And we think this is a very healthy strategy, but we will comply with the regulations and continuously refine our operation. Our long-term prospects for food delivery business remain unchanged. Food delivery penetration remains low with only around 2.5% of the urban meal consumption. And we have talked many times that the digitization, both on the supply side and demand side, has been very clear. So we remain optimistic on our order growth potential. Our target in the mid- to long-term remain unchanged. We believe the investment in new initiatives such as Meituan Select and other retail business will also help us acquire more transacting users. Many of them have potential to convert to our food delivery business. And similarly, our mid- to long-term confidence for the unit economics remain unchanged. Actually, our performance in the past year -- several years and past several quarters have, I think, proved what we have been communicating through the capital markets, through our shareholders and investors, and this unit economic improvement have been seen to be driven by the efficiency in scale, either effective marketing tools, either reduced [indiscernible] ratio and also by their wider range of offerings for both the consumers and also continued introduction of new advertising and marketing tools to our merchants. And in the end, this is economy of scale business. So we think we will be more and more efficient with our scale growth.
Operator: Your next question comes from the line of Kenneth Fong from Credit Suisse.
Kenneth Fong: I have a quick one on the bike-sharing business. You mentioned that you will continue to launch more bike -- [indiscernible] bike. So I want to see how do you think about the competitive landscape of the ridesharing business will be like eventually? And would new bike be able to achieve a much better unit economics compared to the bike that you previously mentioned?
Shaohui Chen: Yes. Thank you for the question. Yes, our operating loss expanded in Q4 for ridesharing services, mainly due to 3 reasons. First, as we mentioned, lower turnover rate result from extreme weather conditions in winter. Ridesharing business has proven to be quite seasonal. And second, as you mentioned that we launched millions of mopeds in 2020 and making our assessment of different operation plans for Q4. We think aggressive operation of such large number of mopeds in this winter under extreme weather condition will not be very efficient. So we actually proactively controlled some efficient -- inefficient operational activities in this period, even further lower the revenue for this business and could bring a big loss. And third, we continue to reassess and optimize our strategy for our expansion in Q4 and delay the launch of some of the new mopeds in certain cities. We have continued to monitor and learn along the way for this bike-sharing business. And we continue to be very [indiscernible] to put substantial resources and efforts to growing this business. We believe both bikes and electronic moped services are mass market, high-frequency and satisfy the short to mid-term -- mid-distant travels for the very extensive Chinese consumer factors. We have also seen other players also set up investment into this ridesharing market. We remain highly confident about the profitability and unit economic potential of this business. We also have been learning how to plan for future bike launching and e-bike launching plan. We believe we will continue to provide optimal distance travel experience to our consumers, and we'll continue to be a leading player in this field. In 2021, we expect our turnover rate to improve and to continue to operate more actively in this market. Again, electronic moped is better -- tends to have better unit economics than bikes and has also been proven in last several quarters. They generate also better user experience than traditional bikes and many consumers are willing to pay premiums to use mopeds, resulting in higher price per ride. In the long run, we think the mopeds should generate sufficient cash flow to cover costs and all the maintenance expenses during its lifespan. It should be a profitable business on a stand-alone basis. Our view on the clear path to profitability has not changed. While currently we do not focus on short-term profitability, and we're allocating more resources from a long-term perspective. We will continue to focus on both user experience and operating efficiency improvement in the next few quarters.
Operator: We will take the final question from Alicia Yap of Citigroup.
Alicia Yap: Congrats on the solid closing of 2020. It seems like we recently made some investment in the technology space. So just curious on what is your strategy and overall plans on this investment? Which verticals will be our focus going forward?
Xing Wang: Thank you, Alicia. That's a more interesting question. So I've always considered Meituan to be a technology company. We are not a pure technology company, and we are more like a tech-enabled business because I think no matter how exciting the technology is, it still means not the end itself. The end for us is our mission to help people eat better and live better, that's the end. How we have to use technology, that's how we think about technology. So in the beginning, I think we started at -- when we talk about technology, we can talk about it in the narrow sense or in a broader sense. So let's started with a narrow sense. So we started as a mobile internet company. Without smartphone, without mobile internet, there will be no business for us. There will be no Meituan. If you look broader, the mobile internet is part of internet. And internet is part of information -- even broader information technology, the IT. And information technology is a very big topic. It is still a part of even broader technology, which -- including other technology like biotech, not just infotec. So we started with mobile internet. So we have one of the largest software engineering team in China. We employ more than 10,000 engineers. At the same time -- well, we started with app, and then we build our quite complicated and very large-scale order dispatching and logging system. That's the foundation of our on-demand delivery business. So that's the software part. But another very important part is hardware because Meituan is in the business of moving items, not just moving bits. So we need to be good at not just software but also hardware. So that's why we have been doing development with autonomous delivery for quite a long time. So for example, during the pandemic, we pilot tested our autonomous delivery in Shunyi District in Beijing, and we have successfully completed more than 15,000 orders. That's the autonomous vehicle -- autonomous delivery on service. Also, at the same time, we pilot tested our Meituan and air delivery in Shenzhen. We have drones. Actually, last December, I tried that. So I think a cup of milk tea delivered by Meituan drones in Shenzhen. So that's the hardware part. So when you ask me we made some investment in the technology space, I assume you are talking about our outside minority investment. That's just a part of our investment. Our main investment into our own operation. If we talk about outside investment, yes, in the past year, especially in past second half of 2020, we invested in some start-ups, for example, that could do robotics [indiscernible] for restaurants, and also we invested in [indiscernible] to bring to the lobby and office floors. And also, we invest in [indiscernible]. They build robots for warehouses. And also, we invest in [indiscernible] robotics. And they build very advanced adaptive robots. And also, we invested a lot into the auto, which -- building next-generation electrical vehicles. So you can probably notice that all these companies have the same word in their names, that is robotics. So I think hardware is a very important part for us. It's actually the smart hardware. I think for us, that's robotics. So I'm a big believer of robots as a service business. Well, with better and better technology and with more advanced robotics, there's huge potential to improve the efficiency, to lower the cost and create better experience for our customers. Also because we already have a very big operation, so we have better understanding of the needs of the end customers. So I think we are in a good position to leverage the cutting-edge technology to build a more efficient and better business. So that's robotics. I think that's the key vertical for us right now. Also, hardware or robotics is still considered part of information technology because the mission of Meituan is to help people eat better. So we are not limiting ourselves to just information technology. We are also actively looking into other technology, including biotech. For example, I believe synthetic technology will play a more and more important role in food and in everything. And also, we are looking into every tech. So I think we are going to used to pay attention to all those cutting-edge frontier technology. And we will invest it in some. We will build some by ourselves. But all these technologies are just means to -- for the ends as the mission to help people eat better. So that's my answer.
Operator: At this time, I would now like to hand the conference back to Scarlett for any closing remarks.
Scarlett Xu: Okay. Thank you for joining our call. We look forward to speaking with everyone next quarter. Thank you all for your time.
Operator: Thank you. This concludes today's conference call. Thank you for participating. You may now disconnect.